Operator: Welcome to Century Casino’s Q1 2012 Earnings Conference Call. This call will be recorded. [Operator Instructions] I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin. 
Peter Hoetzinger: Thank you, Clint. Good morning, everyone in North America, and good afternoon to all our European listeners. I am happy to have all of you join us for this call following the release of our first quarter 2012 earnings last Friday. With me on the call today are Erwin Haitzmann, Chairman and Co-CEO of the company, and Margaret Stapleton, Executive Vice President of Finance.
 Before we begin, let me remind you that in our remarks today we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings, and we encourage you to review these filings.
 In addition, throughout our call, we may refer to several non-GAAP financial measures, including, but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-K and 10-Q filings, all of which are available in the investors section of our website at cnty.com.
 Remarkably, this quarter was the ninth consecutive quarter with revenue and net earnings growth. We managed to increase revenues by 3% and adjusted EBITDA by 9% year-over-year. Earnings from operations doubled. Net earnings tripled. Earnings per share jumped from $0.02 to $0.05. Our balance sheet, which is one of the healthiest in the U.S. casino industry, shows $22.9 million in cash and cash equivalents, and only $6.7 million in third part debt, resulting in a net cash position of $16.2 million or approximately $0.67 per share as of March 31, 2012.
 Excluding the Polish operations, which we do not consolidate, half of our revenue is being generated in Canada and the other half by the Colorado operations and the cruise ship casinos. On the EBITDA level, 56% comes from Canada, and the balance of 44% of total EBITDA is contributed by Colorado and the cruise ship casinos. In the quarter we continued to make progress across the organization in enhancing operating efficiencies and maintaining a disciplined approach to marketing. Our approximately 1600 staff, and that number includes Poland, did a great job and deserve a big thank you. With 32 different nationalities and the male-female ratio of 49% to %51, the great mix of experienced people that help us continue our growth and expansion plans.
 I will now highlight the quarterly results of each individual property. In Canada, the Century Casino and Hotel in Edmonton showed 5% revenue growth, while EBITDA was flat year-over-year due to higher marketing expenses. This is our largest casino with 726 gaming machines and 34 gaming tables. Slot coining increased 12% during the quarter. Table drop increased 4%. Hotel and S&P revenue was up to 9% year-over-year, driven by higher occupancy rates and higher sales in the deli and the comedy club. As announced in our last conference call, 20 new slots have been added to the gaming floor, increasing capacity by about 3%.
 In Calgary, we managed to grow EBITDA by 162%. Slot coining was up 6% and table slot increased by 28%, but that’s still not satisfactory. We plan another round of improvements to the gaming floor and we focus on driving revenues even more aggressively. At the beginning of March, we opened a poker room that’s opened 24 hours. And we have introduced regular weekly poker tournaments. We also introduced a link progressive side bet to the existing Automat Texas Hold 'Em tables. 44 slot machine conversions and slots have been completed. We continue to market and grow the Players Club loyalty program and market the show with live entertainment, events and concepts and various gaming functions to drive traffic to the casino.
 Our Century Casino and Hotel in Central City, Colorado, had a solid quarter. Net revenues increased by 3%, EBITDA by 2%, and net earnings almost doubled due to lower interest and depreciation expenses. Both table and slot revenue was up as was S&P revenue, offset by higher expenses for Players' Club points and complimentaries. We will continue to concentrate on maximizing marketing and promotional opportunity by keeping internal efficiencies on a high level. During the current quarter, we will paint the exterior of the building and refurbish some hotel rooms. Initial starts for the current quarter indicate a pattern similar to what we have seen in the first.
 In Cripple Creek, Colorado, net revenues increased by 2% while EBITDA was flat. This was an okay performance. Table drop went up 13%, but slot coining and slot revenue were essentially flat year-over-year. Hotel and S&P revenues were up, benefitting from slightly increased sales prices. The new smoking area has been completed and we have also introduced 14 new slot games during the quarter. Our marketing and promotions strategy focuses strongly on weekend promotions when customer volumes are highest.
 The 13 casinos we operate and manage on cruise ships and in Aruba saw revenues and net earnings increase by 7%. Just this past weekend we opened a new shipboard casino on the newest vessel of Oceania Cruises, the Riviera. This is the largest vessel of the Oceania Cruises fleet and also our largest casino at sea. And we look forward to strong contributions to top and bottom line, pretty much from the get go. Overall, this relatively small segment of operations generates 9% of our revenue and 6% of the company’s total EBITDA.
 Our equity investment in Casinos Poland Limited, of which we own 1/3, performed very well in the quarter with an EBITDA increase of 21%. Net earnings were up 88%. While slot revenue decreased slightly, the gaming tables performed very strongly in the quarter, especially in our operation -- yes, I was talking about Casinos Poland’s performance, which was very good in the quarter. EBITDA was up 21% and net earnings were up 88%. It was driven mostly by the gaming tables, which had a very strong performance, especially in our operation in the capital city of Warsaw. On the ownership front there is no news to report with regard to the ownership situation. So it is still 1/3 Century Casinos, 1/3 lot Polish Airline, 1/3 Polish Airport Authority.
 Turning to the corporate section. I am pleased to report very good progress regarding the refinancing and restructuring of our debt. We anticipate being able to finally conclude and announce a new credit agreement very shortly. Corporate expenses decreased by another 1% in the quarter, driven by cost savings in payroll and stock-compensation, partially offset by an increase in income tax expenses. Total cash CapEx in the quarter was $644,000 or approximately 4% of revenues, spent mainly on capital projects such as the poker room in Calgary and gaming equipment for the new ship casino, as well as new carpet and equipment in Edmonton.
 Again, cash and cash equivalents totaled $22.9 million, debt $6.7 million, net cash position $16.2 million. With our internationally experienced management team, we remain location flexible to undertake projects in any well regulated casino market worldwide. We continuously evaluate multiple opportunities and we are currently negotiating deals in North America, Europe and South East Asia. This includes Greenfield developments as well as acquisitions of existing properties. We will also look into various other ways to return value to our shareholders, should no new deals materialize this year.
 That concludes our summary of the first quarter results and I now open the floor to questions. Operator, go ahead please. 
Operator: [Operator Instructions] Our first question comes from the site of Todd Eilers with Roth Capital. 
Todd Eilers: Just a couple of questions. First off, Peter, in your comments regarding the Calgary property, you mentioned some additional improvements I believe to the casino. Can you maybe talk a little bit more about what your plans include and then it sounds like the focus is still more on driving revenue growth at the property versus margin expansion. Is that a fair take on that situation? 
Peter Hoetzinger: Erwin, can you come in please. 
Erwin Haitzmann: Todd, this is Erwin. Yes, we still -- first of all the additional improvements we are going to make is we are relocating 1 set of rest rooms to improve the flow on the casino floor. And we have got the approval from the HLC, we are about to get started. We will do that rather quickly with minimum interruption to the gaming floor and to the business. And it should, as I said, it will improve just the experience on the floor and get 2 rooms together that had not been together as well as in the past. And with regard to your other question, it’s correct that we focus on driving revenue. We think we have to get the revenues up in order to get the numbers where we want them to be. Saving, we think that we saved as much as we can save and everything further would not be beneficial to the business. 
Todd Eilers: Okay. And then do you plan any sort of, I guess, special marketing or promotions or anything like that, I guess above and beyond maybe what you have been doing the last couple of quarters? And then also with respect to Calgary, should we see the same sort of, I guess seasonal patterns that we see at the Edmonton property as well? 
Erwin Haitzmann: Yes. You should see similar seasonal patterns like in Edmonton. And, yes, we are having lots of marketing sessions where we are discussing and deciding upon which new measures to take and to try out which are the -- in essence it’s a little bit of a trial and error. And some work well the others do not work so well, and we just have to plan through them until we find the right mix. One of the things we recently did is we opened -- in connection with opening a poker room, we had on 1 weekend a playboy model there who was giving signatures, who was playing one on one with guests, and this was one thing that was very well received and people liked it. So by all means we are trying out new things and keep going until we are where we want to be. We still are very bullish about this casino. It just takes longer then we wanted it to take but all the ingredients are there to make it successful. 
Todd Eilers: Okay. Great. And then just one final question. I guess, Peter, I think in your comments you mentioned seeing similar trend, I believe at the Central City property and I guess in April relative to the first quarter. Can you maybe talk a little bit more about just I guess trends at both of the Colorado casinos as well as maybe the Canadian casinos also. I mean should we, I guess relative to Colorado, is it kind of low single-digit growth there or might we see something a little bit better. And then in Canada, just being curious to kind of get your take on April as well. 
Peter Hoetzinger: Obviously, we are seeing similar results. I mean it’s a little bit early into the quarter but for April it is similar to Q1. Pretty much with all the properties. 
Operator: [Operator Instructions] We will go next to the site of Russ Silvestri with SKIRITAI Capital. 
 Russell Silvestri: Peter, couple of questions. First of all, why is depreciation heading lower? 
Peter Hoetzinger: Maggie, can you come in? 
Margaret Stapleton: I can. Our Central City location has been opened for 5 years now. So a lot of this slot equipment has a 5-year life and that has rolled off. Also, our SAP system has now hit the end of its life and depreciation as well. 
 Russell Silvestri: So is this number, going forward, is this what we should anticipate for the rest of the year? 
Margaret Stapleton: Yes, you should. 
 Russell Silvestri: Okay. And then looking at the business in your last few years, the EBITDA margin has been able to be expanded year-over-year. And in order for that to happen going forward, what has to happen or what needs to be maintained to maintain that experience and if you have a target operating margin where you think it’s as good as it gets, I would be curious to know that number. 
Peter Hoetzinger: Well, Russ, we still see great potential in same-store sales growth and we drive an over proportion of the percentage of the incremental revenues to the EBITDA line. That’s good for all the properties. Now especially for Calgary, we think that there is a potential there to substantially increase EBITDA margins. At the moment it’s approximately, I think in the first quarter it was around 10%, whilst in Edmonton it’s over 30%. Now we will not be at 30% very, very soon but certainly we will be on our way to one day reach there and that will substantial drive the overall company's margin. 
 Russell Silvestri: In Calgary, is there anything happening competitively that’s causing the market to grow slower or faster or you guys to lose share. How do you measure that? 
Erwin Haitzmann: The market in essence is not growing any faster or slower than in the past. We still have to capture more of the market share. 
 Russell Silvestri: Also the tax rate. It looks like it’s a little closer to the 20% than 30%. Just trying to think about modeling that going forward. Can you help me understand what causes it be closer to 20% or what causes it to be closer to 30%? 
Peter Hoetzinger: Maggie, please? 
Margaret Stapleton: The tax rate is running about 20% based on some losses in Calgary, which offset the gains in Edmonton. The U.S. is running -- probably it will be cash tax profitable this year. So the rate may go up based on that. Otherwise, the rates based on the whole international scheme, which we have a 3% in Mauritius. 
 Russell Silvestri: Okay. And my last question is, Insignia, I guess was a ship that you lost but you gained another one. Can you tell me what the relative size was and why Insignia ended the relationship with you? 
Peter Hoetzinger: The Insignia is part of the Oceania Cruises fleet and we didn’t lose it, it was just that the cruise line leased the entire ship to a German tour operator for I guess a couple of years. And our contract is still in place and our overall concession agreement with that cruise line, Oceania Cruises is in place and well alive. The Insignia had a capacity of around 600 passengers and it was a, I think around 15 year old ship or so. And the Riviera, which opened this weekend, has a capacity of double that, 1200 people. Is of a totally different class. Absolute upscale, wonderful ship, with much higher daily rates and revenue potential, not only for the cruise line but also for us. 
 Russell Silvestri: Okay. Great. I see, I missed one of my questions. Just in terms of your debt pay down, what's preventing you from using your net cash position to eliminate the debt, obviously that’s interest income versus interest expenses not adding to your earnings. 
Peter Hoetzinger: Yes, the current facility expires in December of this year and any early repayment triggers a prepayment penalty. And whilst we may consider to pay off -- while we will, the plan is to pay off once we have secured the new financing. But paying it off without having the new financing in place would just trigger this penalty for few hundred thousand in cash that would also hit the income statement right away. 
 Russell Silvestri: So you expect to have the financing line in place in this quarter? 
Peter Hoetzinger: That’s our expectation, yes. 
Operator: [Operator Instructions] We will go next to the site of Ryan Worst, Brean Murray, Carret & Co. 
Ryan Worst: Just one question really, Peter. I was wondering if you could just shed any light on the type of new opportunities you are looking at. Are they going to be similar in size to what you have done in the past and are they acquisitions or Greenfield. And anything on timing as to when you are looking to maybe complete those or if not, do something with your balance sheet and kind of returning cash to shareholders? 
Peter Hoetzinger: That’s right. We are talking at the moment about 2 very very concrete deals around the table, that we are not only looking at but already in negotiations. One in North America, one in South East Asia, one a Greenfield development, one would be an existing operation. Deal size is in the high single or low teens, so roughly between 5 and 12 each. And we would be disappointed if we couldn’t announce at least one in the next -- within the next quarters. 
Operator: There are no further questions. I am going to turn it back over to you for closing remarks. 
Peter Hoetzinger: Very well. Thank you, everyone for your interest in Central Casinos and your participation in the call. For a recording for the call, please visit the financial results section of our website at cnty.com. Thank you. 
Operator: This concludes today's conference call. Thank you for attending.